Operator: Good day, ladies and gentlemen, and welcome to the Sensus Healthcare First Quarter 2020 Conference Call. All lines have been placed on a listen-only mode and the floor will be open for your questions and comments following the presentation. [Operator Instructions] At this time, it is my pleasure to turn the floor over to your host, Kim Golodetz. Ma'am, the floor is yours.
Kim Golodetz: Thank you, operator. This is Kim Golodetz with LHA. Thank you all for participating in today's call. Joining me from Sensus Healthcare are Joe Sardano, Chief Executive Officer and Javier Rampolla, Chief Financial Officer. As a reminder, some of the matters that will be discussed during today's call are forward-looking statements within the meaning of Federal Securities Laws. All statements other than historical facts that address activities Sensus Healthcare assumes, plans, expects, believes, intends, or anticipates, and other similar expressions will, should or may occur in the future are forward-looking statements. The forward-looking statements are management's beliefs based on currently available information. Sensus Healthcare undertakes no obligation to update or revise any forward-looking statements except as required by law. While forward-looking statements are subject to risks and uncertainties, including the continuation and severity of the Covis-19 pandemic and its impact on sales and marketing and those risk factors described in the company's Forms 10-K and 10-Q as filed with the SEC. All forward-looking statements are subject to risks and uncertainties, including those risk factors described in the company's Forms 10-K and 10-Q as filed with the SEC. During today's call, there will also be reference to certain non-GAAP financial measures. Sensus believes these measures provide useful information for investors, it should not be considered a substitute for GAAP nor should they be reviewed as a substitute for operating results determined in accordance with GAAP. A reconciliation of non-GAAP to GAAP results is included in today's financial results press release. With that said, I'd like to turn the call over to Joe Sardano. Joe?
Joe Sardano: Thank you, Kim and good afternoon, everyone. Before we get into our Q1 results, I want to thank all of the physicians, nurses, lab technicians, everyone on the front lines of this pandemic, which has impacted all our lives. I want to thank all of our employees who worked with our customers and their patients during this time period. Our applications and service team, our manufacturers, especially those that have converted their normal line of manufacturing into manufacturing ventilators, masks, gallons, et cetera, for the very needy at this time and supply chain teams are making it all happen. I want to thank all our customers who continue to treat skin cancer patients while most surgeries were postponed for many weeks. I want to thank all the people in the delivery services and all the truckers who continue to do their jobs during this time, and all of these folks who will continue to do so in the future as we all figure out whatever that new standard will be. I sincerely hope that you and your loved ones are well as we continue to look out for one another during the COVID-19 pandemic. I am so very proud of the Sensus team and how together we are navigating these challenges, which significantly impacted our first quarter's financial results. Our intra-quarter sales historically have skewed towards the very end of the quarter and that is the time period in Q1 when the pandemic began closing the US economy. As a result, our sales of $1.7 million during the quarter were lower than we had anticipated when we spoke to you in February when reporting our fourth-quarter results. At that time, we didn't yet know what was immediately ahead. While we wait for economies to reopen, we've been taking multiple actions to prepare for the resumption of post-pandemic daily life. We continue our work to expand awareness of SRT and its utility in treating non-melanoma skin cancer while supporting our physician customers and protecting cash so we emerge from this crisis ready to do business. We've have used this time of social distancing as an opportunity to reach out to customers on a personal level as never before. Sensus has built an impressive network of contacts over many years and we are leveraging our contacts to help customers as much as possible, including sourcing and providing items such as protective masks and critical medicines. We also are sponsoring a series of online programs for dermatologists, during which they share information and practice regimens with one another. The feedback from these programs has been outstanding, and they've been very helpful in keeping Sensus in front of both key opinion leaders and a broader customer base. We are planning our third Zoom presentation led by industry leaders, who will share their experience with treating patients during this time and discuss how they're preparing to fully open their practice. SRT treats non-melanoma skin cancer and all those surgical treatments were put on hold for the majority of patients. SRT treatments became a lifesaver for many practices. On that note, the market has learned that our programs are affirming the use of SRT as an alternative to most surgery as during this time physicians are particularly reluctant to incur the risks of infection and adverse events associated with the surgical procedure. We are convinced that SRT will continue to grow as the number one non-surgical choice for skin cancer treatment as physicians and patients alike see the excellent curative results and the ease of use of SRT. We know for a fact that when it was time to shutdown practices, the SRT system was the last unit in the practice to be turned off. Now, we're seeing some practices beginning to open and we are seeing that SRT unit is the first device to be turned on as these practices begin to re-engage their patients. We all know that skin cancer is not going away anytime soon. And during this time, the Sensus SRT technology is becoming a more valuable tool in treating skin cancer. No anesthesia, no pain, no cutting, no bleeding, no stitching and no scarring; these are the benefits that patients will experience, especially those with pre-existing conditions. We are learning during this pandemic that elderly patients with diabetes, heart conditions, hypertension are most vulnerable to COVID-19. These same patients are also a greater risk with surgery. SRT from Sensus is a more cost-effective and safer way to treat skin cancer. We have also stepped up what we call our Sensus University Programs where we provide application training for the SRT systems. We are finding that refresher courses are proving to be popular so that physicians and their assistants can keep their skills sharp during this time when they are not seeing patients. However, we are now beginning to receive confirmation of dermatology clinics reopening as we speak. The timing of this focus back to the fundamental features and benefits of SRT is fortuitous with our main reimbursement code expected to be revalued upward by the Centers for Medicare & Medicaid Services this summer, and most surgery reimbursement expected it to be revalued downward, we believe the SRT will make significant market inroads once the expected new rates go into effect on January 2, 2021. We'll learn what those new rates are this summer, then there will be a public comment period, and then the final rates will be set in November. We believe the new rates will put SRT in a compelling competitive position. To date, we have penetrated only about 2% of the US market. So clearly there is plenty of opportunities. The American Academy of Dermatology Annual Meeting in late March was virtual this year, but we did have the opportunity to showcase our SRT-100 Vision and the SRT-100 PLUS systems remotely to more than a 11,000 dermatologists. Although we were not able to follow up on the leads we generated in person, we have reached out telephonically and are assembling a list of interested customers to call upon when regional economies open up and practices are back to more normal activity. We've also been advised that this year's ASTRO meeting scheduled for October 25-October 28th in Miami is now a virtual meeting as well. We will pursue all possible activities in order to maximize our opportunities during this meeting as well. We are encouraged by the activity we are starting to see in Asia, as China and South Korea were the first countries to be impacted by COVID-19 and they are also the first to turn the corner and head back to normalcy. We have received a few inquiries from potential customers in China, and if our trade relations remain stable, we believe we will resume modest sales later on this year. Now, I'd like to talk briefly about Sculptura; our Anisotropic Radiation Therapy system with Beam Sculpting capabilities and Robotics Respiratory Tracking. This system has utility in as many as 17 different oncology indications. However, this COVID-19 pandemic is impacting research work with Sculptura at luminary hospitals, including the University of Pennsylvania, so we won't have the benefit of supportive research during the near term. Given current treatment constraints that hospitals, our Sculptura sales forecasts are guarded this year. Although recent interest has been very high, we believe sales of these systems will largely be pushed into 2021. Before I turn the call over to Javier to drill down into the financial results, I want to mention that during the fourth quarter of 2019, we reduced expenses including rightsizing our team and expenses. Given these actions along with our cash position and revolving line of credit. I am confident we are well prepared for the resumption of sales as geographies open up. Already, we are seeing a return to economic activity in much of Florida except for Dade, Broward and Palm Beach counties, which we expect to come back in the next week to 10 days. So while sales and earnings will not be what we had hoped for this year, we do think that there will be improvement later in the year. Now, I will turn the call over to Javier. Javier?
Javier Rampolla: Thank you, Joe. It's a pleasure to be speaking with you all this afternoon. Revenues for the first quarter of 2020 were $1.7 million compared with $5.4 million for the first quarter of 2019. As Joe mentioned, revenues were adversely impacted by COVID-19, primarily near the end of the quarter, are social distancing for physicians than probably closer practices. During Q1, we sold three SRT-100 system -- SRT-100 Vision system in a direct sale. Gross profit for the first quarter of 2012 was $0.7 million or 42.2% of revenues compared with $3.3 million or 61% of revenues for the first quarter of 2019. The decrease was primarily due to the lower sales previously mentioned. Selling and marketing expense for the first quarter of 2020 was $1.8 million, down from $2.5 million for the first quarter of 2019. The decrease was primarily attributable to lower trade show expense due to cancellations related to COVID-19, decreased commission expense due to lower sales, and lower overall spend on marketing activities. General and administrative expense for the first quarter of 2020 was $1.3 million, compared with $1.0 million for the first quarter of 2019. The increase was primarily due to a one-time severance expense and related legal fees. Our G&A expense going forward is expected to be around $1.0 million per quarter as we continue with the cost-cutting measures during 2020. Research and development expense for the first quarter of 2020 was $1.2 million, compared with $2.0 million for the first quarter of 2019. The decrease was primarily due to reduction of research and development related to the Sculptura system. Sensus reported a net loss of $3.6 million or $0.22 per share for the first quarter of this year compared with a net loss of $2.1 million or $0.13 per share for the first quarter of last year. Adjusted EBITDA, which is defined as earnings before interest, taxes, depreciation, amortization and stock-compensation expense was negative $3.3 million for the first quarter of 2020 compared with a negative $1.9 million for the first quarter of 2019. We had an increase in our cash position of $300,000 in the quarter with cash, cash equivalents and investments of $15.8 million as of March 31, 2020, up from $15.5 million as of December 31, 2018. The higher cash position is a result of the lower expenses and improved working capital. At quarter end, Sensus had no long debt term and no outstanding borrowings on our revolving line of credit. I'm very pleased that subsequent to the close of the first quarter, we were able to expand our revolving credit agreement with Silicon Valley Bank to $10.0 million, up from $5.0 million previously. In addition, Sensus received a loan under the Small Business Administration Paycheck Protection Program enabled by the CARES Act of 2020 to be used for employee compensation and facilities costs. We're confident that with the cost-cutting with effect along with the current cash, access to the revolving credit agreement and the PPP loan; we're financially well positioned to come through the Corona virus pandemic intact and ready to do business. With that, I will turn the call back over to Joe.
Joe Sardano: Thank you, Javier. Obviously a lot changed very quickly since our Fourth Quarter Financial Results Conference Call, and it goes without saying that our plans for profitability this year are unlikely to be met. However, we are looking forward to an excellent 2021 with the expected higher reimbursement amounts for SRT and increased work with Sculptura along with commercial sales. As a reminder, our products have enormous room to grow. As I've been saying for some time, our SRT systems are well positioned in a large market consisting of some 14,000 dermatologists, 1,000 Mohs surgeons in the US, representing more than 7,500 offices and growing; not to mention a further 6,500 plastic surgeons and 5,500 radiation oncologists, and we provide a compelling alternative to surgery for millions of patients and arguably the only solution for the treatment of keloids. As a reminder, a 5-year retrospective study with SRT showed a cure rate of 98.9%, which exceeds the most cure rate for non-melanoma skin cancer. The market for keloid treatment with SRT is growing and as the data to back it up with the study showing only a 3% recurrence rate after treating keloids with SRT. With an installed base of 474 units, we've barely scratched the surface and with more most surgeons turning to SRT during the time of COVID-19, we believe many of them will even be more convinced of the benefits. Thank you for your time and attention. And now, Operator, we're ready to take questions.
Operator: Thank you. [Operator Instructions] And our first question is from Andrew D'Silva. Please go ahead, Andrew.
Andrew D'Silva: Good afternoon. Thanks for taking my questions, and very glad to hear everybody sounds healthy. Obviously, COVID-19 has had a dramatic impact across the industry, so this is not any fault of you, but I'm just curious when looking at, maybe, the second or third quarter, do you think that the change in patient volume that's taken place thus far could limit the amount of orders that could take place, or do you expect there to be some sort of a bolster at some point because patients eventually are going to have to come back and get treated. And when that is about to happen, you would expect that packages or at least need to have some equipment in place to be able to take care of that, just going to kind of curious how you weigh that?.
Joe Sardano: Andrew, good to hear your voice. And thank you for being on today. I think that what we're seeing right now is that doctors who are Mohs surgeons that have had our equipment, use the equipment all the way to the very end until they have to close their practices, and they delayed and postponed most surgery for up to four to eight weeks, and we've talked to some Mohs surgeons currently who are back on track with opening their offices saying that they're only going to treat with SRT because it's too early to get involved with Mohs surgery and exposing those patients during the pandemic. So from our perspective, we're seeing some very strong business people running these medical practices. You have to figure, have lost a million -- $2 million during this closure during this time. They've got to recoup those funds to keep everything going, to keep their salaries, to keep their premises going and I think one of the things that we've identified here from all of the doctors is the fact that SRT was really a game changer for them and a lifesaver as they were able to continue to treat their skin cancer patients, continue to work on the backlog of skin cancer patients, and then also continued with their productivity and most importantly, with their cash flow using the SRT. Moving ahead, I think it's going to be even more significant. I think you're going to have a significant number of patients who are on backlog, if you will, waiting for their Mohs surgery and if they are of the age -- of which we know better than 95% of these patients with skin cancer are over 65. I think that they're going to want to minimize the risk. I think the doctors are going to want to minimize the risk, and I think surgery is going to be questionable. So I think that more and more we're going to see the use of SRT and I think that will drive demand up. And then when you're looking at the second half of the year, at some point in July, we're going to see CMS making it clear as to what this new reimbursement is going to be, I think that's going to help us as well. So I think that we're standing in a good position. I think it's going to help the patients identify with SRT, it's going to help the physicians identify with SRT. And we all know, for instance, what restaurants are going to have to do, they're cutting the number of patients -- or number of customers that they have in their stores by a quarter. They're going to separate the tables, they are going to have 25% of their maximum capacity before cut to the 25%. Well, it's going to be the same thing with Mohs surgery because most of these Mohs patients have to come into a surgical area of the dermatologists practice and they have their own waiting room. You're not going to be able to have three, four, five, six patients sitting in that small waiting room as they're getting cut upon and going in and out of the surgical suite, so that's going to be minimized. They're not going to be able to do the same number of Mohs surgeries as they have done in the past, but if they want to maintain their productivity, if they want to maintain their cash flow, SRT is the best answer for these doctors to get back in the swing when they're coming back online with post-COVID-19. So I think it's a great opportunity for us. Now, it's going to require a lot of coaching, a lot of training, but we're prepared to do it and I think the Zoom meetings that we've had -- in the last two Zoom meetings where we've had in excess of 100 people on each one of the calls with the third one set up in the next few weeks. I think, it's helped us tremendously with doctors talking to each other as to why SRT has done so great in their practice even though there are Mohs surgeon.
Andrew D'Silva: That's interesting and actually makes a lot of sense. How about from a mobile standpoint, could you -- you have a turnkey partner, you're implementing a similar kind of turnkey initiatives in Florida, I was kind of curious; one, from a turnkey standpoint, how impacted do you think the industry has been from a cash standpoint, a working capital standpoint and ability to just fund operations going forward. And then two, is there an ability to trend physician from maybe in office model to at-home model or mobile model.
Joe Sardano: Listen, I wish that we had a drive-through capability where we can just have a patient stick their head out the window and we can treat something on their face by putting the arm out the drive-through window, but I don't think that that's going to be a solution. I think in any case, when these patients are told that they have skin cancer, to them they remember the word cancer, it doesn't matter where it is, it doesn't matter if it's breast or lung; cancer is cancer and they're worried about it and have to wait for treatment is a problem for them. And so if they are able to get into a treatment where they don't have to get cut literally when you're looking at SRT, there is nobody that even has to place a hand on the patient. The people that are setting up the SRT, they don't even touch a patient. And so this is a great opportunity versus having to provide anesthesia to a patient and then put the gloves on with two or three people surrounding that patient and with a surgical instrument that cuts that patient open and then how many more times that they have to go back for wound care or for taking care of the stitching whatever that is, I mean this is a much safer, easier way to do it even though there is multiple trips, it's safer for the patient. So, I think that everybody is going to acclimate themselves to that. Now when you mentioned mobile, I think of, you know, we have several doctors that have our machine in the truck and they bring that sprinter van with the machine in it and they can bring patients out of an assisted loading facility and treating those patients in the truck or in the van because it's all set up and shielded, all the specs are available for them. That could be an opportunity for us in the future because a lot of these patients who exist in assisted-living facilities, I don't think that there is going to want to go to anywhere to fast, and I don't think that anybody wants to go into those facilities to treat them. So this is a way of bringing those patients to a van where they can be treated for their skin cancer. I know that the two groups that we have running those mobile vans are doing very, very well economically and they probably are processing and treating more patients than the stationary units. So I think there's going to be several doctors that are going to maybe look into this a little further as we speak.
Andrew D'Silva: Okay, great. And then moving over to Sculptura, just broadly in radiation oncology, it seems like physicians were making a move towards using SBRT as a treatment of choice because of the limited amount of fractions that it required versus a traditional external beam radiation therapy. It seems like IORT has kind of a similar benefit although there is a surgery involved. I'd be just interested in your take, if there is any sort of tailwind from social distancing or limited interaction due to communicable diseases that can tie into Sculptura as well.
Joe Sardano: Again, I think there is an opportunity there, Andrew. The opportunity is the fact that you have one treatment instead of multiple treatments. So if you think of somebody with lung cancer post-surgically having to go into a cancer center or into a chemotherapy area depending on the protocols that they're faced with, they have to do that almost every day of the week for 5 to 10 weeks, and you're in a room with a group of people waiting to be treated, and again the social distancing is not going to be that great, it's going to be a tough process. So when you look at a surgical procedure that can be done and having the Sculptura product alongside, that surgical procedure where it's just one time, you know, anything and everything in that surgical suite is very well taken care of postoperatively. So the people in the hospital know how to secure those products and keep them from bacteria and things, our system will be no different. So it will be a great opportunity I think to have a patient exposed only one time to a treatment versus having to have the surgery anyway, and then having a follow-up of 5 to 10 weeks on the other side. So I think that this could be real important for the near future, plus the fact that it's a whole lot cheaper than going through the 5 to 10 weeks, a lot more cost-effective overall. So, I think that there is that continues to grow, and I think this pandemic is only going to provide more realization that this is the right way to treat their patients whenever they can.
Andrew D'Silva: Hey, great, thank you very much for the color and best of luck in 2020. Please Joe, stay healthy and my best wishes to your family as well.
Joe Sardano: I appreciate it very much Andy, and I can't wait for a box of heart -- of your fruit to send -- send my way. Those -- avocados for sure.
Andrew D'Silva: Thanks a lot.
Operator: Our next question is from Scott Henry. Please go ahead, Scott.
Scott Henry: Thank you. Good afternoon. Unfortunately, I don't have any fruit for you Joe, but I do have a couple of questions.
Joe Sardano: Fruit for thought.
Scott Henry: Thanks. For starters, I think Q1, the business really grounded to a halt when you think about the way, it was only like the last -- last half of March or maybe I don't recall exactly when this all took effect, but my question is when we think about Q2, would you expect Q2 to look worse than Q1?
Joe Sardano: Scott. I'll tell you that, probably within a week of our call, which I think was around February, 4; for the fourth quarter. It was about a week after that the medical community started realizing what was going on and what had to be done. So they were probably the first to shutdown things and of course that impacted our Q1. With regard to Q2, it could very well hurt us even more in Q2 because I think when you're looking at these doctors are reopening up their centers, the hospitals are going to take a long time before they refocus on what we want, just like anybody who is selling MRIs or CT scanners, it's going to be -- have the same impact for them. But on the dermatology side, we're seeing them coming into focus with skin cancer and immediately going to SRT. As I mentioned earlier, it's the first unit that's being turned on. That's going to clear up a lot of the backlog, it doesn't help us particularly with the prospects that we're looking at to react as quickly as possible because they might have to reassess where they're going to spend their dollars; keep in mind, they probably lost a million bucks during this time period, if not more. But I think that it can go either way, we just don't know yet where it can go. We have to get in touch with our customers. And I think the ones who were intent on buying prior to this will buy, hopefully it will be in the second quarter. We think that it can be in the second quarter, especially when they start listening to what happened to the other docs who had SRT, they were able to continue even though there were Mohs surgeries. I think it's going to be a long time before people are going to get back to being comfortable with doing Mohs surgeries. So I think the Mohs surgeons who don't have our SRT system will get right back into it. And I don't think that that's right. I think that they need to hold off and patients need to be aware of the fact that they need to go to a doc who perhaps is a Mohs surgeon, but also provides them with the alternative SRT. I think those doctors are the ones who are going to say, I'm not going to do surgery on you, but we need to get rid of the skin cancer and we'll use SRT. I think that's the best way to go. We need to get that word out there and we'll do our best to do that.
Scott Henry: Okay. And then another question, I mean when we think about 2021, do you think it will be normal versus expectations prior to -- to this happening or do you think you have to kind of build momentum up again, meaning obviously 2020 is heavily impacted, but then do you snap all the way back to where you were, or do you just start growing again. I mean is it-- is it a strong. I'm just trying to get, how you think of 2021 and in the rebound, what that looks like?
Joe Sardano: Well, if you recall, I think most of you will remember that during the call in the fourth quarter, I said to everybody that we're just -- we are planning on being profitable for the year and we're looking forward to just getting 2020 out of the way. We wanted to get 2020 out of the way because of what was happening with announcements that we were expecting from CMS. Well, I think that is even more important today based on the consequences of what we're facing today with the virus. And so for me, I believe that there is going to be a lot of build-up between now and the end of the year. I think that there's going to be a lot of positive things that come out of patients being treated with SRT and not as many patients being treated with Mohs, and I think practices realizing that this is the time to get into SRT because it's probably the device -- the only device out there that can pay the money for existing patients that have skin cancer, and that skin cancer is not going to go down in volume, it's going to continue to rise. So there is going to be a tremendous backlog as we come out of this year going into 2021, and I think that once it's known as to what CMS is going to do and where our reimbursement is going to be, I think that our base is going to get very, very excited. And I think it's going to accelerate demand for SRT. I really believe that, we believe that before the pandemic, and that's why we said back then that we just can't wait to get 2020 out of the way.
Scott Henry: Okay. And then just reading in the press release, it sounds like Sculptura is going to be more of a 2021 event now. Do you think you place any machines in 2020?
Joe Sardano: We have possibilities because we have prospects that are still looking at the machine very, very seriously and we've come very close with negotiations with some of the facilities. But there is such a distraction with a lot of these hospitals and you can only imagine the losses that are being incurred by so many hospitals, including the teaching facilities. I mean they have to redirect and refocus where they want those funds to go, and I just have a tough time seeing a CEO thinking of how much money he's going to spend on various things when they have to recoup what's going on with the pandemic. I think this pandemic is going to affect the hospital market for a longer period of time that's impacting the dermatology market. So do I see us with an opportunity here and there? Yes. I see this with an opportunity because we're that close to some of those customers. Would I be disappointed or perturbed this went into 2021? Yes, but I don't expect to lose those orders. Eventually, they will come in. We just want them to come in now, but if they don't, I expect those orders to be in 2021.
Scott Henry: Okay. And then on Q1, did you give us the service contracts revenue, how much was that?
Joe Sardano: So, I leave it up to Javier.
Javier Rampolla: Service was 600,000.
Scott Henry: Okay. And since I got Javier, question that the PPP money that you've got, do you think you're going to have to pay that back? I mean that's kind of blurry these days for public companies.
Joe Sardano: Yes. Listen, the rules regarding and surrounding that are, you have to maintain your staff. We cherish the people that we have working for this company. They're great people. They do a lot of work. And so this is able to cover all of the expenses for maintaining our people for the next eight weeks as well as all the facilities expenses. So we're very, very comfortable with that and we think that by the time this expires without having to lay anybody off, worst case is you got 10 years at 4% to pay it off. It's not a whole lot of money, we can pay it off right away, but the big opportunity is that it could go away entirely as long as we don't lay anybody off, and that's what we expect.
Scott Henry: Fair enough. And then, Joe, the reimbursement changes on the horizon, this summer, what's your confidence level in those, is that -- is that 100% or would I just want to revisit that.
Joe Sardano: Yes, I would say this, nothing that pertains to the government is a 100%. So, when you don't have it in your control, you're always worried and that's -- you know, if anybody asks me what keeps me up awake -- keeps me up at night, it's always the government regulation. So all I can tell you is that the process is going through its paces and it's going according to what we feel it should do and how it should be. Now, we've been exposed to -- I can't say about it, but we've been exposed to the numbers that have been presented by the AMA to CMS and so we have confidence in the fact that we've got a relationship and working with CMS over the last five, six years to try to achieve those goals, and we don't anticipate that there would be any problem with CMS whatsoever. And I think it would make it an extremely favorable reimbursement for all of our doctors compared to where we've been. And so as long as we continue to broaden the process, as long as we continue to see that progress as we go along and we're monitoring it. I would tell you on a daily basis. We're happy with the way things are going. Can anything happen? Of course, it can, of course, but we don't so, this is something that they're -- that they're very interested in as well.
Scott Henry: Okay, fair enough. Final question, I know I have asked a lot -- just when I do the math, it seems like pricing has to be a little higher in the quarter to get to that number, was pricing higher or am I doing the math wrong?
Joe Sardano: No.
Javier Rampolla: In the product mix.
Joe Sardano: Yes, doing product mix showed that we had a higher average selling price in the first quarter. Javier,
Javier Rampolla: Correct, we sold [indiscernible] system and one of them was a vision system sold directly, so it is the product mix that basically is doing that.
Scott Henry: Okay. All right, great. Thank you for taking the questions.
Joe Sardano: Appreciate it, Scott. Stay healthy.
Operator: Our next question is from Anthony Vendetti. Please go ahead Anthony.
Anthony Vendetti: Hey, Joe. How are you doing?
Joe Sardano: Good, Anthony. How are you?
Anthony Vendetti: All right. On Sculptura, I know you mentioned at the beginning of the call that you're pretty much expecting this to be a 2021 event in terms of -- in terms of selling the actual systems, and I think that's probably the right approach, but if we do start reopening and even if hospitals to take a while to get back, do you expect the pipeline to build so that even if you don't take deliveries or even if the hospitals don't accept deliveries before the end of the year that you should build a pretty healthy pipeline if you still have all of the sales force in place for this particular product.
Joe Sardano: Yes. I don't think Anthony that we're seeing any less interest in the pipeline that we have and we continue to grow that. And I think the exposure is little or as great as we can access during the virtual ASTRO meeting will continue to grow for us. So I don't see anybody backing off of their interest. They all seem to want more and more data and information regarding Sculptura, I just see it being delayed into 2021 versus what we were trying to achieve in 2020 because of the distractions that the hospitals have faced. But I don't see a slowing down in the prospect base at all.
Anthony Vendetti: Okay, that's good. And then just remind me how many sales people you have and it sounds like you're doing Zoom calls with prospects for not just Sculptura, but obviously for the SRT, SRT-100 Vision and so forth. How does that pipeline look for the Vision and then if you could just talk a little bit about assuming you do get a higher reimbursement, assuming Mohs does come down, are you expecting a significant acceleration for the SRT systems as we move towards the back half of this year, obviously fourth quarter is generally the strongest quarter, if the COVID-19 situation is somewhat under control, and we don't see a resurgence in the fall, is it possible you could see a nice bounce back here in the fourth quarter?
Joe Sardano: We're anticipating a bounce back in the fourth quarter understanding that COVID is on its way down, I think that again doctors in the dermatology space are business people and they've got to find a way to recoup lost revenues from the time that they were shut down. This is one of the fastest ways to do it, whether you're an aesthetic physician or a Mohs surgeon. And again there's many -- plenty of patients out there to fill that backlog and they're going to be in a hurry to want to get treated one way or another. And again, being in that age bracket of skin cancer as well as COVID vulnerability, they don't want to have surgery if they can avoid it. So, I think that this is going to bode well for existing customers. I think their volumes are going to go up, but I think that the doctors that don't have it are going to adapt to it very, very quickly because it's really the best way to get their practice back in shape.
Anthony Vendetti: Sure, sure. And I know we've talked about the reimbursement, and I know it was brought up on some of the prior questions, but as best you can -- as best you can tell at this point and obviously nothing is a 100%, but based on all the conversations you've had with the regulators, your team has had, would you say that the likelihood is at least greater than 50%, but reimbursement for SRT goes up -- reimbursement for Mohs goes down, and if that's the case, even if it does, obviously it doesn't get implemented until January 2 of 2021, that could -- that could also contribute to an acceleration of sales at the end of the year.
Joe Sardano: I'm not going to speculate on the percentages, but I think that they're very, very good. And I think that everybody will be happy. I know that the physicians were involved in the revaluation process, which took place in January, in a meeting in Arizona, we're very satisfied with the outcomes of that process in evaluating or re-evaluating that code. It also impacts some other codes that we've seen and we've been told that are increasing that are applicable to treating skin cancer with SRT. So the combination of the two will provide physicians with a very, very strong economic model to wanting to have SRT in their practice and making it [ph] perhaps sense of doing it. So. can it accelerate in the third quarter? Anytime CMS has to announce things. And anytime you go into a market, I always look at a period of time where we have to personally to get involved in the training, educating and then you have to work with your KOLs to be on the podiums to talk about it, and we don't know where those podiums are going to go because all of our meetings this year for dermatology has been canceled. But we are re-upping those types of meetings through the Zoom presentations as well as doctors who are doing their own Zoom presentations. So we're getting a lot of notoriety based on that and I think that that information today's internet can be spread very, very quickly, especially when the government says so. And once they say so, that's something that you guys will know right away because we will tell you, it is what our customers will know right away because will tell them, and now they have to start thinking of the process, what are they going to do to buy it and we just want to get them to buy it as soon as possible. But the big opportunity that we have. Anthony, as you know is, we're not even quite at 2% of the total market capabilities or opportunities. So all of the best of us as much as we've grown in the past 10 years, the best is ahead of us. And so I think that we can capture a lot of market share post announcement from CMS -- post all of this time and like I said, get 2020 behind us and this is going to help us tremendously. So my expectations are great.
Anthony Vendetti: Okay. And then, just last question on the -- on all the Zoom calls the salespeople have been doing it, would you say that at this point, all of your salespeople are --are doing the Zoom calls and through the Zoom calls, would you say it -- about the same number of touch points or is it more touch points because obviously a Zoom call can be set up once you figure out how to do it, Zoom calls can be set up much faster.
Joe Sardano: Sure.
Anthony Vendetti: And then, right -- you can potentially touch more people through Zoom -- than you can, by going out and visiting them face to face.
Joe Sardano: Yes.
Anthony Vendetti: Than you can, by going out and visiting them face to face.
Joe Sardano: Yes.
Anthony Vendetti: Now this has happened, obviously it has been forced on us by COVID-19. Is it possible that --that gets integrated as part of the overall sales process? And the ability to reach out to more dermatologists, plastic surgeons during this process as -- has begun to increase and could be -- could be a way to reach more of them going forward.
Joe Sardano: Yes, a couple of things. First of all, when this started, we sent out a message to the sales organization and everybody including application service, everybody in touch with customers on the daily basis, including the management team that this was the time to develop relationships and partnerships. It wasn't a time to do selling and do all the other stuff. Of course, we stay close to our prospects into to our customers, but it was more important to develop a relationship and to be available when they needed us, if they needed us, and to let them know that we're there to help them any way that we can, their entire staffs and offices. So, I think the sales team and everybody in touch with the customer within the organization has done a great job in doing that. So we've stayed very, very close. Now, the Zoom, just to give you an idea. When we first set up the Zoom, as anybody would expect, we don't know what to expect. Okay. So we set it up and there is a certain costs that are involved, so you set it up for 100 people to join Zoom and then that's the number of people that you have allowed to join. So we set it up for the first one for 100 people and we were oversubscribed by about 35 people. So there was a plenty of interest there in people wanted to get on, but we were already locked in at 100. So the next Zoom meeting that we had, we said, well, that's up and so we upped at the 500 and of course there is a cost involved in that, but we had about 140 customers involved in that. I think it's all based on availability. It's all based on knowledge, those types of things. So we had two Mohs surgeons who are first hosts who talked about SRT and how it meant -- what it meant for them in their practices and they're the ones who told everybody else why SRT was so valuable because they cut off Mohs surgery and they did everything with SRT. The next two physicians that we had were also Mohs surgeons. They were Ladies Mohs surgeons, and we wanted a different perspective because most of their business is in the aesthetic world, even though they do Mohs surgery and they're Mohs surgeons, and they had the same answer that if they were coming out of this, they know that they're aesthetic business is going to be very well, there's is going to be some people that pay cash for the business that they want of, you know, cutting back on the wrinkles around their eyes or their cheeks or their chins and things like that, but skin cancer is still there, and it's not going away. And they have a bunch of patients that they have to treat and they're not going to treat them with Mohs surgery except for the exception, and when Dr. Frederic Mohs develop this back in the late '50s, early '60s, it was the exception versus the rule then to do Mohs surgery, they used everything else including Orthovoltage units which were the prescript to what we're doing with SRT today. And we know that in the mid '70s, more than 50% of dermatology offices used Orthovoltage. So, we think that this might be an opportunity or a change where we're going to see most surgery because of COVID and all the other potential problems with surgeries on elderly patients that it could turn back into something that's not the regular thing, SRT could be the regular way of treating, and this could be the alternative. So there is a good chance that that could happen. We've got to push hard as hell to make it happen. CMS numbers will help us tremendously make that happen because we know the doctors will follow the money.
Anthony Vendetti: Okay, that makes sense. Okay, very helpful. Thanks for the color, Joe. I appreciate it.
Joe Sardano: Thank you, Anthony.
Operator: Our next question is from Alex Nowak. Please go ahead. Alex
Unidentified Analyst: Good afternoon, everyone. This is actually Will [ph] on for Alex. Thanks for taking my questions and hope everyone is well. Just to start. Joe, could you talk more on what a typical quarter looks like in the first two months versus the final third month, if you could just briefly speak of the dynamics of why systems are typically placed at quarter ends, that would be helpful. Thanks.
Joe Sardano: Sure. Well, I'll relate to how we transition from Q4 into Q1. If you look at Q4, we had what, about 20 some systems that were delivered and installed. So everybody spent their money, they took advantage of various coding that help them with the IRS and everything else, they were able to save some dollars, so they took advantage of that and accelerated the reason why they bought -- early versus late or whatever. So, that was -- that was good for us. Now we transition into the first quarter where we had a large number of sales that went into the fourth quarter and now you are trying to revamp your prospect base so you can get it to more operating numbers that you're trying to look forward for the second quarter. And keep in mind, that we're preparing for major trade shows like we have the fall -- the South Beach Symposium, which took place in early February, we were able to get that done, there was about 1,000 doctors there. And then, you're lining up to get everything going for the [ph]AED in early March, where a lot of the doctors are looking to make their decisions, we have doctors that are lined up coming to our booth and we're trying to close deals based on what they see and what they hear at the AED, when that cancelled, and then of course offices shut down, you can see where, from the time the first meeting towards the end of Feb -- the beginning of February to where we came in at the end of March where a lot of that business did not happen. It didn't go away, it just didn't happen. People put their decisions on hold. So, if I look at what happened after the fourth quarter and to have four systems already sold by the time we had our earnings call, and then to get abruptly turned off before a lot of things, we're able to get started, that was hurtful. So now you go through that same cycle each and every quarter. It's more impactful in the fourth quarter because of all of the other ramification surrounding it, but as you close out one quarter, you are now ramping up for another quarter, and it starts from day one, and you start ramping up, and you start selling, and you're selling cycle is a little longer. Some of it overlaps from the previous quarter and we get those orders early. That's pretty much how the sales -- how the sales cycle goes. So it's almost like after one quarter, everybody sits back takes a breath of fresh air and says, here we go again and now you start all over. So it's just the normal cycle, I think you see it in almost everything in healthcare, again spent a lot of years at GE Medical Systems and it was exactly the same thing there, something like we program our customers to buy during those periods because those are the most important periods and their deadlines that we establish for purchasing. So it just happens to be in the cycle.
Unidentified Analyst: Great. Now understood, thanks for all the color there. I appreciate it. And then just a second question, could you just talk at a higher level, what you're seeing with your existing accounts. And just if you can comment on the appetite that dermatology clinics have right now for looking at new technology like SRT. Thanks.
Joe Sardano: I appreciate it. The existing customers that we have are related with the fact that they have SRT. And I want to tell you the story of the unit that we sold in early March in Tennessee to an aesthetic dermatologist who was surrounded by Mohs surgeons whose patients have been told that they're not going to be treated for the next 6 to 10 weeks until they come out of this, and he looked at it as an opportunity for himself to install the SRT as quickly as possible. And I want to remind everybody that May is Skin Cancer Awareness Month, he wanted to take advantage of that fact and start advertising to his community that he can start treating now patients with skin cancer, don't have to wait, and they can get treated now non-surgically. And he's been installed for a few weeks, he is very, very busy as we speak, and I think he is only going to get more busy as time goes on. So, I think that's the opportunity a lot of dermatologists are looking at. They're not going to be able to clear out their backlog of skin cancer patients using surgery only, they're going to have to instead of spending that one day a week where they designate surgery that day doing 8 to 10 or 12 patients, they're not going to be able to have 8 to 10 to 12 patients in their little surgical suite all at the same time with the amount of disinfectants that they have to apply, and all of the things that they have to use, you can't have patients sitting there for that long, that close together. So I think just like restaurants, their business from the Mohs surgery standpoint is going to be cut by 75%. So, how do they make up that money? They have to make it up in other ways. They have to treat the SRT -- with SRT treating those skin cancer patients because nothing touches the body. So they can make up that revenues with SRT. They don't have to sit back and lose those patient anybody else, they can do that. So I think that the appetite is going to be there. Plus, they have to make up the money that they've lost during this time of closure. And the sooner you make that up, the better off you are. You can't wait 6 months to 12 months to make it up, I think that they can make that up very quickly with SRT, and especially if CMS comes through with that announcement, I think they'll all want to catch up a whole lot sooner.
Unidentified Analyst: Now understood, thanks for all the color there. And that's it from us. Best of luck moving forward.
Joe Sardano: Thanks, Will. And give my best to Alex.
Operator: Our next question is from Yi Chen. Please go ahead.
Unidentified Analyst: By this is Bo Palin [ph] dialing in for Yi Chen, and thanks for taking my question. A feeling that the COVID-19 persist throughout the year, how many systems would you expect to ship in 2020?
Joe Sardano: Say that again, if COVID existed or continued for the balance of the year?
Unidentified Analyst: Yes. Assuming the COVID-19 continue throughout the year. How many systems would you expect to ship in 2020?
Joe Sardano: Not a whole a lot. I mean, if -- how are you going to ship systems and who is going to make a decision if they have to shut their offices. So we have to assume that they are opening up their offices, right. So in your question does the -- the offices opening, are they remaining closed like we're seeing?
Unidentified Analyst: Like partially opened, you know, some states are open and some are not, for instance in New Jersey, I don't think there is a whole lot of clinics that are open, but I'm just curious, you know, assuming this is still -- versus -- but you know, the economy is like partially open, so I'm just curious like whether you have any predictions?
Joe Sardano: It's difficult to predict those numbers if you're considering that a majority or half of the areas are going to be closed. Keep in mind the areas that are -- that are -- the most hit are the big centers, like New York, Chicago, California. I mean, Florida is opening up as we speak. So that continues to be a hotbed, Texas continues to be a good market for us. Arizona continues to be a good market for us. So it's tough to predict how many units we're going to sell when you're still might have a quarter or half -- a third of the country closed. I don't think that we can answer that question honestly.
Unidentified Analyst: Okay, understood. So moving forward, have you shipped any system to China in 1Q 2020, considering the escalating tension between the two governments. Do you think the trade dispute and tariff war would resume in the coming months?
Joe Sardano: Based under that scenario, I don't expect to send anything to China. But if China and Korea are both opening up as we speak as well. They are way ahead of the curve because it hit them first. Now we've had interest from China for our products for a long time. We have about 40 systems installed in China. I think that volume can be increased in excess quite significantly, but I think that there's a lot of things that have to happen over the next several months, but we feel that there is opportunities in Asia, we have sold equipment in Vietnam, in Korea, we have opportunities in Thailand. We have opportunities in China itself. So, we continue to work that market because of the large opportunities that we have. So I don't know how many units, but if we sold one unit. It's one more than we sold last quarter in China.
Unidentified Analyst: Okay, thank you. Understood. That's it from me.
Joe Sardano: Thank you.
Operator: There are no more questions.
Joe Sardano: Okay. So in closing, I want to thank you all for your time this afternoon and for your interest in Sensus. Like so many companies in every industry sector, our business was hit hard by COVID-19, but we're using this time as productively as we can and are optimistic about our prospects when we return to a more typical business pattern. Thanks again, and may you and your family, friends and associates remain safe and healthy during this time; and look forward to talking to you all after the next quarter. Thank you so much.
Operator: Thank you. This concludes today's teleconference. We thank you for your participation. You may disconnect your lines at this time and have a great day.